Operator: Ladies and gentlemen, thank you for standing by, and welcome to the BlueLinx Holdings Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Today's call is being recorded. We will begin with opening remarks and introductions. At this time, I would like to turn the conference over to your host, Investor Relations Officer, Tom Morabito.
Thomas C. Morabito: Thank you, operator, and welcome to the BlueLinx second quarter 2025 earnings call. Joining me on today's call is Shyam Reddy, our Chief Executive Officer; and Kelly Wall, our Chief Financial Officer and Treasurer. At the end of today's prepared remarks, we will take questions. Our second quarter news release and Form 10-Q were issued yesterday after the close of the market, along with our webcast presentation, and these items are available in the Investors section of our website, bluelinxco.com. We encourage you to follow along with the detailed information on the slides during the webcast. Today's discussion contains forward-looking statements. Actual results may differ significantly from those forward-looking statements due to various risks and uncertainties, including the risks described in our most recent SEC filings. Today's presentation includes certain non-GAAP and adjusted financial measures that we believe provide helpful context for investors evaluating our business. Reconciliations to the closest GAAP financial measures can be found in the appendix of our presentation. Now I'll turn it over to Shyam.
Shyam K. Reddy: Thanks, Tom, and good morning, everyone. I'm pleased to report that we continue to execute successfully on our product and channel strategies to gain market share. Our gross margins for specialty and structural products are solid and our net sales and volumes are higher for both product categories despite soft or otherwise challenging market conditions. We remain focused on creating demand for our products via multifamily initiatives, builder pull-through efforts and national account support to drive growth. As a result, we experienced another quarter of share gains. Demand creation strengthens our value proposition to both customers and suppliers, which puts us in a better position to win business and convince our suppliers to give us new geographic territories to expand their SKU assortment with us and to enable us to disrupt dual distribution via our demand creation efforts. We believe that our strategy, when coupled with our strong balance sheet, positions us well for better-than-market success when the housing market recovers. We also returned capital to shareholders by repurchasing $20 million of shares in Q2. In addition, our Board of Directors approved a new $50 million share repurchase authorization, bringing the total current availability to $61.5 million. This clearly demonstrates our commitment to returning capital to our shareholders and our continued confidence in the company's long-term growth strategy. While market-driven price deflation has improved over the past year, it continues to reduce the profitability of the business, especially in certain product categories. We're offsetting this impact, however, with volume growth in engineered wood products, millwork, lumber and panels in several key strategic channels as our channel and product strategies continue to bear fruit. With a disciplined focus on growing our 5 key specialty product categories: engineered wood, siding, millwork, industrial and outdoor living products across all of our customer segments, the mix shift strategy remains the same. That said, it's being executed in a manner that has our channel growth strategy front and center when making decisions about new product launches and working capital investments across the enterprise. We are also accelerating our focus on the multifamily market, an area where we are gaining significant traction. In fact, we have grown this business more than 30% year-over-year. While coming off of a relatively small base, we are excited about the prospects of multifamily-related growth. Moreover, it strengthens our value proposition for both our customers and suppliers as we're creating demand for them in a space that is otherwise challenging and expensive to do on their own as scale, grid and endurance are critical to long-term success with multifamily projects. It is important to note that multifamily sales may lead to longer turn days for certain product lines, resulting in higher than customary inventory levels in some cases. Though the product sales are committed, they remain on our books until they ship. In addition, multifamily dynamics lead to more direct sales, which is good for the business, but lowering gross margins. After a couple of challenging years, we believe that the multifamily segment is poised for a significant rebound as it's an efficient way to meet increasing housing demand quickly and to address housing affordability efficiently. We are already seeing these improvements in the reported housing data and we believe our strategy positions us well for long-term success in this attractive segment of the housing market. Our digital transformation efforts remain on track with Phase 1 set to be completed this year. We have rearchitected our data and strengthened our master data foundation for future digital transformation. We have converted 11 markets to our new Oracle transportation management system and we are processing e-commerce transactions in our pilot market. At the same time, we're incorporating AI into the business to drive financial improvements and operational efficiencies. Early pilots include demand forecasting using machine learning, branch video surveillance, training, HR and IT help desk chatbots and Microsoft Copilot to enable salaried workforce productivity. Our continued focus on modernizing the business with new technology will allow us to differentiate ourselves in the market and accelerate our profitable sales growth and operational excellence initiatives. In addition, M&A and greenfields remain important elements of our profitable sales growth strategy. So we continue to explore and evaluate opportunities in both areas in order to expand our geographic reach and to support our specialty product sales growth initiatives. Our greenfield in Portland, Oregon continues to perform well. In fact, we just doubled our warehouse space there because demand is higher than we initially expected, which is a testament to the team's ability to quickly instill confidence on the part of our customers. Now turning to our second quarter results. We generated net sales of $780 million and adjusted EBITDA of $26.8 million or a 3.4% adjusted EBITDA margin. Adjusted net income was $5.6 million or $0.70 per share. Specialty products continue to account for approximately 70% of net sales and over 80% of gross profit for Q2. Specialty product net sales increased slightly year-over-year due to strong volumes in engineered wood products and millwork. Unfortunately, price deflation in those same categories muted the benefits of our net sales and volume increases that drove share gains tied to our strategy. Gross margins for specialty product sales came in at 18.5%, which is above our expected range. It is important to note that while industry-driven specialty products price deflation continues to adversely impact our top line and our cost of goods sold, the price declines remained steady in the low-single-digit range in Q2 compared to prices being down high-single digits this time last year. Structural product revenues increased over 3%, largely due to price increases in lumber, combined with volume increases in both lumber and panels. These volume increases were due to successful execution of our profitable sales growth strategies, especially with respect to those tied to multifamily-related sales. For the quarter, industry average lumber prices were up 18%, while panel prices were down 19% year-over-year. We once again leveraged our strategic approach to inventory management and our centers of business excellence to successfully manage margins in our structural product categories. Through the first 4 weeks of Q3 2025, margins for specialty products were consistent with Q2. So far in Q3, overall pricing and daily volumes have both been relatively flat compared to Q2. We are optimistic that specialty pricing volatility will continue to stabilize. Despite our success gaining share, higher profitable sales growth may be tempered significantly by tariffs, high mortgage rates and general economic uncertainty, which I will touch on in a minute. Structural product margins improved during the first 4 weeks of Q3 versus Q2, which is due to slightly higher lumber market pricing. Additionally, lumber volumes have increased mid-single-digits compared to Q2. Panel pricing continues to be under pressure, negatively impacting volumes and margin. Our focus on business excellence continues to support solid gross margin performance quarter-after-quarter despite challenging market conditions. Additionally, our focus on driving an enterprise-wide corporate strategy enables us to better leverage our diversified customer base, our geographic footprint and our scale to effectively navigate the challenging landscape, while providing a more competitive value proposition to both our customers and suppliers. This disciplined approach positions us very well for the housing and building products market recovery when that occurs. Similarly, our financial position remains strong and our significant liquidity gave us the flexibility to return capital to shareholders by repurchasing $20 million in shares during the second quarter. That strong financial position, coupled with our confidence in the long-term strategy of the business, gave us the flexibility to authorize a new $50 million share repurchase authorization that will kick in after we exhaust the remaining $11.5 million of share repurchases under our current authorization. Now let's turn to our perspective on the broader housing and building products market. As you all know, the housing market continues to be soft, which is impacting the building materials and distribution sector. Broadly speaking, housing affordability, high mortgage rates, short-term rates, construction, labor availability, inflation and other factors continue to affect the real estate and repair and remodel markets. The impacts of government policies and macroeconomic conditions should be short-term in nature as the long-term fundamentals of housing are strong. Currently, the U.S. is 4 million homes short on supply, which is certainly positive for the building products sector. In addition, at some point, homeowners will need to improve their existing homes or buy new homes, which will drive greater repair and remodel activity. In the meantime, there continues to be general uncertainty about the timing for a sustained housing recovery, which is reflected in various industry indicators of builder and consumer sentiment. June total starts were slightly down year-over-year and single-family housing starts were down 10% from June '24. Builders' confidence and consumer sentiment levels are also down compared to this time last year. On the other hand, multifamily housing starts were actually much higher on a year-over-year basis, thereby serving as a seasonal catalyst for our strategy. Although the total starts are down, our product and channel strategies are leading to share gains in a contracted market due to sales growth tied to success with our builder pull-through and multifamily efforts. Repair and remodel spending continues to be soft given low existing home sales. Despite this softness, our strategic focus on national accounts is enabling us to grow this business at scale. As housing activity increases, we believe the investments we're making today will accelerate our growth efforts in the repair and remodel-driven business. Although the near-term outlook remains uncertain, we believe in the long-term prospects of the housing and building products sector. It is estimated that more than 1.5 million homes need to be built every year for the next 10 years to meet the anticipated housing demand, and that is probably a low estimate. We believe that market stability will unlock consumer spending to meet this demand. We took these factors into account when we developed our share gain strategy to drive profitable sales growth. As we mentioned on our last call, tariffs will put pressure on gross margins. Regardless, we expect to pass them along via price increases. Regardless of market conditions and government policies, we will continue to emphasize our product and channel growth strategies, and in particular, our multifamily growth and our product expansion strategies to gain share in an otherwise difficult market. Our enterprise-wide product and channel strategies are a positive for long-term success as they are designed to fully leverage our scale to drive profitable sales growth, not only in challenging markets like the one we're in, but even more so in a strong housing market. In summary, we delivered solid results for the second quarter of 2025. We're also executing our strategic initiatives as evidenced by our specialty product expansion efforts, channel growth, margin performance and capital allocation initiatives. Focus and clarity will continue to be critical in the successful execution of our strategy for the remainder of 2025. I'd like to thank all of our BlueLinx associates for their continued dedication to our customers, our suppliers and each other. Our teams are committed to generating profitable specialty and structural product sales growth so that we are well positioned for long-term success despite short-term market conditions. Now I'll turn it over to Kelly, who will provide more details on our financial results and on our capital structure.
Christopher Kelly Wall: Thanks, Shyam, and good morning, everyone. Let's first go through the consolidated highlights for the quarter. Overall, both our specialty and structural products businesses delivered solid volume growth despite the challenging macro environment. Specialty products gross margins were solid and structural products gross margins were positively impacted by higher lumber prices, partially offset by lower panel prices. As Shyam mentioned, price deflation had a negative impact on both businesses. Net sales were $780 million, up 2% year-over-year. Total gross profit was $120 million and gross margin was 15.3%, down 60 basis points from the prior period. SG&A was $95 million, up $5.8 million from last year's second quarter. This increase was mainly due to increased sales and logistics expenses driven by higher product volumes, our strategy to grow sales in the multifamily channel and expenses associated with our digital transformation initiative. Net income was $4.3 million or $0.54 per share and adjusted net income was $5.6 million or $0.70 per share. Tax expense for the second quarter was $2.3 million or 35%. For the third quarter, we anticipate our tax rate to be approximately 22%. Adjusted EBITDA was $26.8 million or 3.4% of net sales. Turning now to second quarter results for specialty products. Net sales were $543 million, up 1% year-over-year. This slight increase was driven by volume increases in engineered wood and millwork, offset by price declines in both categories. As Shyam mentioned, given current market conditions, we are optimistic that specialty pricing volatility will subside in the coming quarters. Gross profit from specialty product sales were $100 million, down 4% year-over-year. Specialty gross margin was 18.5%, down 80 basis points from last year's 19.3%, primarily due to price deflation. Through the first 4 weeks of Q3, specialty product gross margin was in the range of 17% to 18% with daily sales volumes consistent with the second quarter of 2025, but higher than the third quarter of 2024. Now moving on to structural products. Net sales were $237 million, up 3.4% compared to the prior year period. This increase was primarily due to higher lumber pricing and increased lumber and panel volumes when compared to last year. Gross profit from structural products was $19 million, an increase of 7% year-over-year and structural gross margin was 8.2%, up 30 basis points from the same period last year. In the second quarter of 2025, average lumber prices were about $451 per thousand board feet and panel prices were about $487 per thousand square feet, an 18% increase and a 19% decrease respectively compared to the averages in the second quarter of last year. Sequentially, comparing the second quarter of 2025 with the first quarter of 2025, lumber prices were down just over 1% and panel prices were down about 9%. Through the first 4 weeks of Q3, structural products gross margin was in the range of 8% to 9%, with daily sales volumes up slightly versus the second quarter of 2025 and down slightly compared to the third quarter of 2024. Looking now at our balance sheet. Our liquidity remains excellent. At the end of the quarter, cash on hand was $387 million, a decrease of $62 million from Q1, largely due to the seasonal increases in working capital and increased capital expenditures. When considering our cash on hand and undrawn revolver capacity of $343 million, available liquidity was approximately $730 million at the end of the quarter. Total debt, excluding our real property financing leases, was $376 million and net debt was a negative $11 million. Our net leverage ratio was a negative 0.1x adjusted EBITDA given our positive net cash position. And we have no material outstanding debt maturities until 2029. Additionally, given the strength of our balance sheet and continued strong liquidity, we remain well positioned to support our strategic initiatives. These strategic initiatives include continued growth in the multifamily channel, our digital transformation efforts, other organic and inorganic growth initiatives and opportunistic share repurchases. Now moving on to working capital and free cash flow. During the second quarter, we generated operating cash flow of negative $27 million and free cash flow of negative $36 million, primarily due to lower net income, seasonal changes in working capital and increases in capital expenditures largely tied to our growth strategies and digital transformation. Turning now to capital allocation. During the quarter, we spent $9.6 million on CapEx, primarily related to our digital investments and to improve our fleet and distribution facilities. For 2025, we plan to manage our CapEx in a manner that reflects current market conditions and allows us to maintain a strong balance sheet. Our remaining capital investments will focus on facility improvements, further upgrades to our fleet and the technology improvements previously discussed. Our digital transformation efforts will also have an approximately $5 million impact on operating expenses in 2025 related to software license implementation as well as additional headcount associated with this initiative. Also during the second quarter, we repurchased $20 million of stock and we had $11.5 million remaining at quarter end on our current share repurchase authorization. As Shyam mentioned, the Board has approved a new $50 million share repurchase authorization and we plan to be opportunistic in the market and repurchasing shares. As a reminder, this is the third share repurchase authorization that our Board has approved in the last 4 years. Our guiding principles for capital allocation remain consistent with prior quarters. We intend to maintain a strong balance sheet, which enables us to invest in our business through economic cycles, expand our geographic footprint and pursue a disciplined greenfield and M&A strategy as well as opportunistically returning capital to shareholders through share repurchases. We also plan to maintain a long-term net leverage ratio of 2x or less. Overall, we reported solid second quarter results and we were pleased to see higher volumes in both specialty and structural products, particularly in light of the current challenging macroeconomic environment. Our strong balance sheet and our liquidity position us well to execute on our strategy and continue to opportunistically return capital to shareholders. Operator, we will now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Jeffrey Stevenson with Loop Capital.
Jeffrey Patrick Stevenson: Nice quarter in a challenging demand environment. So I just wondered, first, how specialty volumes trended throughout the quarter given the slower-than-expected builder spring selling season this year? And then, Shyam, you mentioned in your prepared remarks that EWP and millwork saw a healthy volume growth during the quarter. But I was hoping that you could comment on other key specialty product categories as well.
Shyam K. Reddy: Sure. Thanks for the question, Jeff. Good to hear from you. Yes. So basically, I want to emphasize our strategy, right? I mean if you look at housing starts on a year-over-year basis, they're down 10%, right? And so, for us, what that means is our strategy to create demand via our multifamily and builder pull-through efforts is working. And we're leaning in with EWP, millwork, and then of course, a couple of the structural product categories to drive that growth. And more importantly, we're doing it to support our customers and our suppliers in terms of helping them achieve their growth objectives. So that's -- so in what is otherwise a soft market, generally speaking due to macroeconomic headwinds and what's otherwise a really soft summer, we've been able to control the narrative with our very intentional demand creation efforts. And that's what's causing us to mute the downside of these headwinds. So that -- so again, because it's part of the strategy, not tied to the traditional way of doing business, we sort of worked the multifamily and builder pull-through angle through the quarter. And that's how we posted those volumes. We're gaining share in an otherwise down market.
Jeffrey Patrick Stevenson: Great. And I know you touched on it, but obviously, very impressive multifamily growth of 30% year-to-date. I mean I just wondered if you could provide more color on the primary drivers of the strong share gains you're seeing? And then how long a runway you have for continued share gains when multifamily starts improve to more normalized levels in the coming years?
Shyam K. Reddy: Sure. So in my remarks, I talked about our early investments in multifamily providing a seasonal catalyst as multifamily starts were up, although -- while single-family starts were down. So that -- those early investments paid off at the right time, which means when the market does recover, I think we'll have an even bigger head start on others. So what -- so how we're doing that is we've made investments, both OpEx and CapEx to really support the complexity of multifamily projects. And we're working hand-in-hand with key customers to win business and leverage our investments to support them because they may not otherwise -- it may not otherwise make sense for them to make the investment. So that's where we provide that value add. So by leveraging our team and the various services we offer with respect to multifamily, and of course, the project management associated with delivering into those multifamily projects, whether it be through just-in-time delivery and warehousing on top of the equipment to deliver in what can otherwise be a challenging delivery in an urban environment has really helped us win business. We're also very creative in terms of how we structure our programs so that it's a win-win for both our suppliers, ourselves and our customers. So our aperture is a lot wider than I think others may be in order to drive profitable sales growth for ourselves as well as our customers. And then last but not least, as it relates to the relationships or where the programs may reside, if our customer wants to own the program and we're behind the scenes, we're absolutely supportive of that. And as it relates -- and in some cases, there will be maybe multiple programs between us and the ultimate builder and the customer with the customer generating the sales. So that's a long-winded way of saying we are very creative and thoughtful and collaborative with our customers to drive multifamily growth. And that's the key I want to stick is we are driving demand and leveraging our investments for the benefit of our customers and suppliers to help them grow their respective businesses.
Jeffrey Patrick Stevenson: Great. It's super helpful. And one last question. It seems like the Portland greenfield has been a big success given you're doubling your warehouse space. And I wondered if that speeds up the timeline for future greenfields to find attractive sites, especially in key Western markets moving forward?
Shyam K. Reddy: Sure. So I would say, again, as I've said before, the constraint for us from a greenfield standpoint is not our intestinal fortitude to do them. It's finding the right real estate, right? So what I will say is the Portland greenfield and the success we're achieving accelerates our ability to have successful greenfields in the future just by taking those learnings and applying them to future greenfield opportunities. But we have an active greenfield market pipeline. We are working with real estate professionals in order to identify sites and exploring ways to accelerate it. I mean we are absolutely committed to opening up more greenfields and looking forward to sharing more news in the future.
Operator: Your next question comes from the line of Greg Palm with Craig-Hallum Capital Group.
Gregory William Palm: Maybe just starting with maybe a backdrop. Just curious if anything has changed more recently? Any green shoots emerging, just broader industry conditions? Would be curious to get your thoughts to start.
Shyam K. Reddy: So nothing. I think what we're hearing is, obviously, more -- as there's more and more certainty with respect to the tariff environment, that could potentially unlock some pent-up demand regardless of whether or not people like the tariffs in and of themselves. It's just certainty will have a positive impact on consumer confidence on unlocking investments and some other things. But for the most part, there's really nothing out there other than multifamily, which I talked about in my remarks and our demand creation efforts with builder pull-through multifamily really driving year-over-year growth for us. But nothing unique per se that's not otherwise public.
Gregory William Palm: And I think like thinking back to last call, it seemed like competition was a bigger theme. I think maybe you alluded to it a few times today. But just curious, like what kind of behavioral changes are you seeing from some of your peers? Any changes relative to last quarter?
Shyam K. Reddy: It's more of the same theme. It is very competitive out there, no doubt. But we are trying to control the narrative by, again, driving demand through those investments we've made in new channel focus areas. But we are having to compete harder to not only keep business, but also win business. But I think our creative approach is allowing us to do so in a positive, constructive way, but it is still competitive out there.
Gregory William Palm: Okay. And then lastly, on multifamily, you talked about I think the gross margin, some of the working capital differences. Can you just maybe dig into that a little bit more? I'm just sort of curious just in terms of the mix difference, the working capital differences. And then overall, what are the working capital kind of requirements or expectations in the second half company-wide?
Shyam K. Reddy: Yes. I'll let Kelly take the second part of your question. The first is when you're doing a multifamily project, and it requires a fair amount of grit and endurance, right, because these are long projects. Usually, the sales happen early in the cycle and then you drive project management in supporting your customers from a delivery standpoint as well as the developers. So in some cases, what will happen is we will win the project, we'll take on the inventory and then we've got to stage the inventory for development -- during development of the project. And sometimes that inventory is held longer than our normal inventory for regular wave business. And so -- but it's been priced. It's been committed. It's just being held longer, which obviously impacts our internal return on working capital metrics. But at the end of the day, it's a strong sale. It supports our strategy. It just requires more endurance as it relates to the impact, right? And the benefit through the P&L rolling through the P&L. But again, that's what -- that's part of the value add that we're providing that is enabling us to win business.
Christopher Kelly Wall: And on the working capital front, so as we ended Q2, we were a bit heavy on inventory and we had some unusual activity around accounts payable. I want to be there specifically is that we did end Q1 with days outstanding much higher than what's typical for us. So that normalized in Q2, which is why you're seeing that use of cash attributed to the change in accounts payable in the second quarter. But as we think about the rest of the year, we're very focused on getting our inventory levels back in line with the current demand environment. So we do think that, that's going to be a source of cash for us as we go through the rest of the year and would expect for kind of the other working capital terms to be consistent with prior years. All of that ultimately culminating in free cash flow for 2025 that we'd expect to be roughly similar to 2024.
Operator: Your next question comes from the line of Reuben Garner with The Benchmark Company.
Reuben Garner: A couple on the sequential changes in gross margin that you saw from Q1 to Q2 and then what you're seeing so far in Q3. So first on the structural side. I was a little surprised, lumber, at least for the last few months has been climbing sequentially, I think both in the futures market and cash and correct me if that's wrong. But normally, in that environment, you guys get a little bit of a boost to gross margin. Is the panel pressure or the competitive environment or the mix of your business by customer something what's kind of leading to maybe a more normal or lower end of the range we've seen in the last few years in that segment?
Christopher Kelly Wall: Yes. So on the structural side, specifically, Reuben, you're spot on, right? The combination of just competitive pressures with the lower demand environment, and we're all fighting to maintain or in our case, grow share. But then also, you mentioned panels, right? Pricing is down high-single-digits, almost 10%, relative to last year. So that's a big component of what's impacting that 8.2% margin that we posted for Q2. And then as we mentioned in our prepared remarks, we do expect for the full year to maintain kind of 7% to 8% gross profit margins for structural.
Reuben Garner: Okay. And then on the specialty side, higher -- I think you said flat sequential volumes so far in the third quarter. I think the volumes were better in the second quarter than the first, but the gross margin is kind of drifting lower. Can you talk about that piece? How much of that is competitive versus mix within specialty driving that down? And kind of what's -- I guess, how low can that go before you start becoming willing to seed market share instead of kind of going after it?
Christopher Kelly Wall: Yes. So we did kind of update that we were seeing 17% to 18% margins on the structural side in the first 4 weeks of -- I'm sorry, on specialty, excuse me, in the first 4 weeks. And we expect that the competitive pressure that we're seeing out there is going to continue to contribute to where we're seeing those levels. As Shyam mentioned, what's helped us maintain margin is our efforts to kind of pull demand into our customers, right? And so we're out there kind of driving that, bringing sales to customers, which -- and other value-added services that we're providing that help us hold on the margin. The other factor that we're looking at is that as we grow multifamily, the product mix is a bit different and that's impacting margin as well. But our view is that if we can continue to grow in that space and grow volumes in the multifamily, then we're willing to give up a little bit of margin there to capture the absolute growth in gross profit dollars.
Reuben Garner: Got it. And last one for me on the M&A front. Any updates there and what you're seeing from potential sellers? Have valuations come in at all just given the kind of broader macro environment or are you still kind of at a disadvantage given where you're trading in the public domain and the private guys are looking for higher multiples than that?
Shyam K. Reddy: Yes. I think that structural disadvantage will always will exist at least for now. But we do have an active pipeline and we are -- there are a number of factors that go into these evaluations, right, just in terms of our overall strategy, whether it be driving specialty growth, continuing to support the demand creation efforts we talked about. So there is an active pipeline. The bid-ask spreads have narrowed substantially since 2 years ago, let's say. And there's more -- we're seeing more deals or opportunities come through for us to look at than we were seeing 18 months to 24 months ago.
Operator: Your last question comes from the line of Kurt Yinger with D.A. Davidson.
Kurt Willem Yinger: Just wanted to circle back on multifamily with a 2-parter. First, could you talk about kind of the mix versus the existing business from kind of a structural versus specialty kind of sales perspective? And then second, if I'm thinking about it correctly, and correct me if I'm wrong, but a big difference between the multifamily side and traditional, let's say, is the job site delivery component, which is also kind of something that the traditional dealer channel would do. And so I'm just curious whether there's been any friction with maybe legacy customers or how you're managing kind of that dynamic?
Shyam K. Reddy: Sure. No, it's a great question. So just in terms of the multifamily, we're leading with some of our key brands, right? So EWP is a very significant product line that we're driving into the multifamily channel and we're able to be very competitive on that front. At the same time, siding is an important element in multifamily. And given our relationship with Allura, it provides us with a good opportunity to convert business from the larger brand in the fiber cement -- in the cement siding world to Allura, and that's worked really well. We're also -- we've even got examples of SmartSide supporting multifamily. So it's a wide assortment. And then, of course, selling full truckloads of structural lumber and panels and specialty panels is key to a multifamily job. So we've got a nice assortment of products that are going into the multifamily channel. The most important part of the win though is when you lead with one product, it can then open doors to additional products to sell into the project, which we're doing a fairly good job of early days. As it relates to job site delivery, job site delivery in the multifamily jobs, especially since we're working with our customers to do it. So it's not a lost sale and it's a project being done in collaboration with that customer, it's supported, right? And so multifamily within our space is an acceptable use of -- from a job site delivery standpoint. So for example, in Atlanta or in Manhattan or in some of these bigger markets, it might make sense for us to deliver on a Moffitt into an urban job site at 2 in the morning and offload the material because no one's there into a designated location. And of course, the customer is getting the benefit of the sale anyway. So it's just mapping out the logistics capability in order to make good on the project vis-a-vis the developer.
Christopher Kelly Wall: Yes. And Kurt, I'd add. To answer your first part of your question, we do see a slightly higher mix of specialty -- sorry, structural, a higher mix of structural versus specialty into the multifamily, but we are leading, as Shyam mentioned, with our specialty product, just pulling through that structural product.
Kurt Willem Yinger: Okay, okay. That's super helpful. And then maybe just going back to the structural side, you talked about kind of the staging of the order, right? You might win it at one point and delivery could be quite a bit in the future. Can you maybe just help us understand how those agreements or contracts are structured to where you kind of protect yourself from commodity volatility? I mean, if I were to think about a big run in lumber pricing, I think that could be a headwind. But just kind of help us understand how you mitigate that risk.
Shyam K. Reddy: Yes. So we have a fair -- so as we've talked about in the past, we built a pretty good mousetrap for managing our structural wood products in large part because we have inventory on the ground that's consigned and we have cash on hand inventory. And through really good planning and the relationships we have with our ultimate customers, we're able to manage through that volatility pretty successfully. The issue is primarily one of, quite frankly, turn days on that committed inventory. So as the market matures and as we continue to really accelerate our growth with multifamily, we may evolve. We'll probably evolve the arrangements, while still making them a win-win for both our customers, our suppliers and ourselves. But so far, no issue yet.
Kurt Willem Yinger: Okay, perfect. And then just last on specialty pricing. I guess if you were to kind of look at the mix of products and where pricing stands today, any thoughts on when we could kind of get back to flattish or potentially see that flip to a positive?
Shyam K. Reddy: Yes. Honestly, I don't have a crystal ball. I will say the tariffs introduced some interesting dynamics, right? Because EWP, for example, over the last 24 months has experienced pricing pressure due to LVL coming out of Europe. And as the tariff regime crystallizes, that deflationary impact could cause a faster stabilization of pricing within EWP, for example. So I don't have a crystal ball. But again, as tariff uncertainty becomes more certain and that landscape crystallizes, I think we'll be on a path forward to greater stability.
Operator: That concludes our Q&A session. I will now turn the call back over to Tom for closing remarks.
Thomas C. Morabito: Thanks, Bella. Thank you again for joining us today and we look forward to speaking with you in late October as we share our third quarter 2025 results.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect. Everyone, have a great day.